Operator: Good afternoon. Thank you for attending the Planet Labs PBC first quarter of fiscal 2026 earnings call. My name is Cameron, and I'll be your moderator for today. Lines will be muted during the presentation portion of the call with an opportunity for questions and answers at the end. If you would like to ask a question, please press star one on your telephone keypad. And I would now like to pass the conference over to your host, Cleo Palmer-Poroner. You may proceed.
Cleo Palmer-Poroner: Investor Relations team at Planet Labs PBC. Welcome to Planet's first quarter year 2026 earnings call. I'm joined by Will Marshall and Ashley Johnson, who will provide a recap of our results and discuss our current outlook. We encourage everyone to please reference the earnings press release and earnings update presentation for today's call, which are available on our Investor Relations website. Before we begin, we'd like to remind everyone that we will make forward-looking statements related to future events or our financial outlook. Any forward-looking statements are based on management's current outlook, plans, estimates, expectations, and projections. The inclusion of such forward-looking information should not be regarded as a representation by Planet that future plans, estimates, or expectations will be achieved. Such forward-looking statements are subject to various risks and uncertainties and assumptions as detailed in our SEC filings, which can be found at www.sec.gov. Our actual results or performance may differ materially from those indicated by such forward-looking statements, and we undertake no responsibility to update such forward-looking statements to reflect events or circumstances after the date on which the statement is made to reflect the occurrence of unanticipated events. During the call, we will also discuss historic and forward-looking non-GAAP financial measures. We use these non-GAAP financial measures for financial and operational decision-making and as a means to evaluate period-to-period comparisons. We believe that these measures provide useful information about operating results, enhance the overall understanding of past financial performance and future, and allow for greater transparency with respect to key metrics used by management and its financial and operational decision-making. For more information on the non-GAAP financial measures, please see the reconciliation tables provided in our press release issued earlier this afternoon, which is available on our website at investors.planet.com. Further throughout this call, we provide a number of key performance indicators used by management and often used by competitors in our industry. Other performance indicators are discussed in more detail in our press release and our earnings update presentation, which are intended to accompany our prepared remarks. At this point, I'd now like to turn the call over to Will Marshall, Planet's CEO, Chairperson, and Co-Founder. Over to you, Will.
Will Marshall: Thanks, Cleo, and hello everyone. Thanks for joining us today. We're pleased to have delivered an excellent first quarter in fiscal 2026. To briefly summarize the results, we generated $66.3 million in revenue, representing approximately 10% year-over-year growth and exceeding our expectations. Non-GAAP gross margin was 59%, up from 55% a year ago, and adjusted EBITDA profit came in at $1.2 million, representing our second sequential quarter of adjusted EBITDA profitability. We also generated $17.3 million of cash flow from operating activities and achieved our first-ever quarter of positive free cash flow at $8 million, a significant milestone for the company and for shareholders. Our backlog grew to over half a billion dollars at the end of the quarter, reinforcing our path to accelerating growth. Before we turn to our first quarter wins, I'd like to share a few takeaways from my recent travels visiting our customers and partners around the globe. In DC, I met with various leaders at the US government. The government's demand signal for smarter solutions that leverage the latest innovations from technology providers is ringing loud and clear. Although today's dynamic environment is creating uncertainty, my visit only reinforced our view that the opportunities outweigh the risks for Planet. While in Europe, I met with leaders across governments, and it's clear that the changing geopolitical landscape is resulting in a heightened need for Planet services. This builds on the increased awareness of the significant value of satellites that has grown since the start of the war in Ukraine. Overall, we are seeing unprecedented interest in our solutions. We see Planet as a reliable and trusted partner to our domestic and international customers during such times of global change. So as I turn to sales highlights, I'll start with the defense and intelligence sector, which was once again a key growth driver for the business this quarter. Revenue from the DNI sector grew over 20% year over year during Q1, driven by strong performance with our core data and solutions business, as well as our satellite services contract with JSA. During the quarter, Planet was awarded an eight-figure ACV expansion contract by a European defense intelligence customer for PlanetScope data and our maritime domain awareness solution. This relationship expanded rapidly, progressing from a pilot last year to an eight-figure operational contract. As a reminder, our maritime solution is a high-frequency board area solution with partner-enabled analytics for vessel identification and classification, enabling customers to monitor large areas of open ocean for mission-critical situation awareness. We won a seven-figure ACV expansion to provide MDA to one of our long-term customers, expanding their monitoring capability with Planet from land to sea. More broadly, we continue to see robust demand for downstream products that embed our capabilities into customers' operations, enhance situation awareness, and support informed decision-making. This quarter's wins are two of many proof points supporting the scale of this opportunity. Turning to the civil government sector, where first-quarter revenue was down year over year largely due to the expiration of our NICSI contract, we continue to see significant growth opportunity here. To share a few recent highlights, in March, we announced that we've been selected as the primary subcontract for the California Air Resources Board satellite data purchase program, SDPP. The $95 million contract was awarded to our partner Carbon Mapper and is centered on providing the state of California with methane data built upon TANAGA hyperspectral collections, as well as other data products. This three-year-plus program marks the first major purchase of Tenager data by a customer outside of the CarbonMAPA consortium itself. It demonstrates the market potential within civil government for large-scale automated environmental monitoring. This approach can be expanded to other government customers around the world. Last month, we announced an expansion of our seven-figure countrywide contract with the German government entity BKG, which now includes insights from planetary variables, water monitoring services from Planet's partner EOMAP, and access to Planet's insights platform. The data will be used to monitor water, forest, agriculture, socioeconomic, and land use, as well as support the federal monitoring campaigns and environmental assessments. During Q1, we also expanded our business with the Welsh government to help inform agriculture policy and natural resource management. Using our high-cadence satellite imagery, historical archive, and tasking capabilities, the Welsh government is deriving data-informed management plans for agriculture efficiency, water and land use change, and emergency response. Shifting finally to the commercial sector, where revenue was up slightly year over year, we continue to see signs of more stable performance despite quarter-to-quarter variability. To share a highlight, we recently signed a multiyear expansion with Onyx, an outdoor digital navigation company, to inform their suite of recreation applications with PlanetScope products. With Planet satellite data, the apps enable users to stay informed about conditions in remote areas as they plan outdoor pursuits. Next, onto our nascent satellite services offering. Firstly, our team is executing well on the JSA contract. Secondly, as mentioned last time, we're pursuing a handful of highly strategic deals, each significant in scale, and I'm pleased to report that we saw very solid progress with multiple prospects during the quarter. These deals are win-wins, providing software and satellite services to our customers and accelerating and funding the development of our new fleets. Furthermore, the California STPP reward showcases how a set of satellites initially funded through satellite services can drive incremental data business. Turning to product updates starting on the platform side, we recently streamlined our self-service purchasing offering for small customers to make it easier to get started with the Planet Insights platform. This supports Planet's strategies to support small customers efficiently with a flexible and scalable model that grows with their operations. For our larger customers, the platform delivers time series solutions and insights that become embedded into their workflows, which is key to expanding our addressable market with customers who haven't traditionally used geospatial data. We also released our new aircraft detection analytic feed, which automates the detection of aircraft, including commercial, private, and military around the world. By combining advancements in artificial intelligence with Planet's high-frequency scan of the Earth, we're able to offer this product at a global scale, aiming to help users analyze patterns of life and the normal anomalous geopolitical behavior. This presents a massive and unprecedented capability for analysts, with or without geospatial expertise. On the space system side, Canada One, which we launched last year, is servicing a number of early customers across energy, defense, civil government, and agriculture markets. Our space systems team has rapidly progressed to satellites' operational maturity, expanding the satellite's imaging capacity to bring down approximately 300,000 square kilometers per day via hundreds of collections. From Tanja One, we're not only extremely pleased with the quality of data and the insights being derived but also with early wins showing momentum and indicative of our demand for this new capability in the market. Meanwhile, Pelican Two, which we launched in January, is continuing to perform very well. We've completed our commissioning process, fully validated the payload and optics, and began providing data to select customers. Between our first two Pelican satellites and our TangentOne satellite, we now have over two and a half years of on-orbit experience of our smallsat platform modular spacecraft architecture, which is shared between the two fleets. These on-orbit technology demonstrations have provided us with critical learnings as we develop this technology and prepare to launch operational fleets. As a reminder, we plan to have multiple pelican launches this year. We're also working on additional Pelican for our partner, JSA, which are expected to begin launching in calendar 2027. I'd like to take a moment to commend our global sales, product, and space systems organizations on a phenomenal quarter and thank them for their hard work, winning, and delivering for our customers. Overall, our first-quarter performance validates our strategic direction, relentless customer focus, and disciplined execution. Looking ahead, we are going to continue to aggressively execute on our two key initiatives: one, delivering integrated global insights via AI-enabled solutions, and two, rapidly expanding our satellite services offering. Both are seeing strong traction, and our endgame is clear. Establish Tana as the undisputed market leader for monitoring the physical world at a global scale. With that, I'll turn it over to Ashley to discuss our financials. Over to you, Ash.
Ashley Johnson: Thanks, Will. As Will highlighted, Q1 was an excellent start to the year with record revenue and our second quarter of delivering adjusted EBITDA profits. Revenue for the first quarter came in at $66.3 million, representing approximately 10% year-over-year growth. The strong quarter was primarily driven by key wins with our defense and intelligence customers, higher than expected usage by some of our government accounts, and steady progress across our new JSA contract. During the first quarter, our defense and intelligence sector revenue grew over 20% year on year. The commercial sector was flat year on year, and civil government revenue was down year on year, impacted primarily by the end of our contract with Norway for their NICSE program. The commercial sector has continued to show signs of stabilization since the trough in Q1 of fiscal 2025. The quarter-on-quarter step down in revenue within the commercial sector was largely attributable to the previously discussed final adjustments for a couple of our larger agricultural contracts in Q4. Switching to our regional revenue breakdown, for the first quarter, revenue grew more than 30% year over year in both EMEA and Asia Pacific, while North America and Latin American revenue were down year over year. North America was impacted primarily by the aforementioned agricultural impact. As of the end of Q1, the end-of-period customer count was 919 customers, lower on a sequential basis, reflecting our direct sales team's focus on large customers in our core verticals and our shift to serving smaller customers via the Planet Insights platform. As a reminder, Planet Insights platform customers are not included in our end-of-period customer count. We saw overall revenue growth in spite of the decline in customer count and thus a solid increase in average revenue per customer as a positive indicator that our sales team's focus on landing and expanding high-value accounts is yielding results. As we shift to some of our ACV metrics, I want to remind you that the JSAT multiyear satellite services contract is not included in our ACV metrics. Although it is included in our RPOs and backlog, which we'll discuss in a moment. Recurring ACV was 97% of our end-of-period ACV book of business, reflecting our continued focus on selling subscription data contracts and solutions as opposed to one-time professional or engineering services. Over 90% of our end-of-period ACV book of business consists of annual or multiyear contracts. Our average contract length continues to be approximately two years weighted on an ACV basis. Net dollar retention rate at the end of Q1 was 103%, and net dollar retention rate with WindBox was 104%. Turning to gross margin, non-GAAP gross margin for the first quarter was 59%, compared to 55% in the first quarter of fiscal 2025, demonstrating improvement year over year. On a sequential basis, we saw an increase in cost of revenue attributable to depreciation from our satellites, costs related to partner solutions, and costs associated with our new satellite services contract with JSAT. Adjusted EBITDA profit was $1.2 million for Q1, better than expected, primarily driven by revenue outperformance in the quarter and disciplined OpEx spend. Capital expenditures in Q1, which include our capitalized software development, were approximately $9.3 million. This was lower than expected, driven largely by the timing of certain launch payments and procurements for Pelican and Tanager satellites. We expect to see these expenses catch up in Q2, which is reflected in our guidance. As a reminder, we're currently in a growth CapEx investment cycle, as we build out our next-generation fleets to capture the market opportunity we see for Planet. Turning to the balance sheet, we ended the quarter with approximately $226.1 million of cash, cash equivalents, and short-term investments, an increase of approximately $4 million sequentially. During the quarter, we generated approximately $17.3 million in net from operating activities and $8 million in free cash flow, which marks our first quarter of positive free cash flow as a public company, a significant milestone for Planet's employees and shareholders. The strong performance in the quarter reinforces our expectation for full-year cash burn to be under half of what it was in fiscal 2025. While we expect cash flow to vary quarter to quarter, the milestone we reached in Q1 demonstrates excellent progress for the business. Our focus remains on managing the business to enable sustainable cash flow generation through efficient growth across our data, solutions, and satellite services revenue streams. At the end of Q1, our remaining performance obligations or RPOs were approximately $451.9 million, up 262% year over year, of which approximately 45% applied to the next twelve months, and 76% to the next twenty-four months. We estimate our backlog, which includes contracts with the termination for convenience clause, which is common in our US federal contracts, and occasionally found in other customer contracts, to be approximately $527 million, up 140% year over year. Approximately 45% of our backlog applies to the next twelve months, and 76% to the next two years. We believe this backlog provides us with good visibility to meaningful growth rate acceleration into fiscal 2027. Let me turn now to our guidance for the second quarter and full year for fiscal 2026. In Q2, we're expecting revenue to be between $65 million and $67 million. Underlying this guidance is an assumption that the strong usage by some of our customers in Q1 returns to normalized levels in Q2. We expect non-GAAP gross margin for the quarter to be between 56% and 57%, and we expect our adjusted EBITDA loss for the second quarter to be between minus $4 million and minus $2 million, reflective of the variability of our expenses quarter to quarter and our tight focus on cost controls and efficiencies even as we invest in strategic growth initiatives. We are planning for capital expenditures of approximately $17 million to $22 million in Q2, reflecting the catch-up of capital investments that we expected to see in Q1. Our full-year expectations for CapEx have not changed. For the full fiscal year 2026, we expect revenue to be between $265 million and $280 million, pulling up the lower end of our guidance range to reflect our improved outlook while recognizing that we remain in an environment with multiple geopolitical and economic uncertainties. We're confident in our ability to execute, and we see multiple potential sources of upside for our revenue. We expect non-GAAP gross margin for fiscal 2026 to be between 55% to 57%, unchanged from the guidance provided on our prior call. We expect our adjusted EBITDA loss for fiscal 2026 to be in a range of minus $12 million to minus $7 million, reflecting the investments we're making in downstream solutions and our space systems capabilities. We're planning for capital expenditures of approximately $50 million to $65 million for the year, unchanged from our prior call. To summarize, I'm incredibly proud of the execution and operational focus of our teams across Planet, making a strategic shift toward downstream solutions which is being validated with significant customer wins and demand signals. This isn't merely a product enhancement. This is a strategic maneuver designed across the CASM to capture the early majority of customers and establish a market-leading position in our key target markets. Furthermore, the innovative satellite services model as demonstrated with JSAT represents a fundamental rearchitecting of how we fund and monetize our next-generation fleets. This approach isn't just about technology. It's about aligning our offerings with a strong market demand, thereby ensuring we capture the value we create and deliver compelling returns as we scale. Operator, that concludes our comments. We can now take questions.
Operator: We will now begin the question and answer session. If for any reason you would like to remove that question, please press star two. Again, to ask a question, please press star one. And as a reminder, if you are using a speakerphone, and due to the interest of time during this Q&A session, please limit your questions to one question. Again, due to the interest of time during the Q&A session, please limit your questions to one question. And we will pause here briefly as questions are registered. And the first question is from the line of Edison Yu with Deutsche Bank. You may proceed.
Edison Yu: Hi. Thank you for taking our questions. Wanted to ask about AI. And I know it's a pretty kind of loaded term there, but it's been about three months, I think, since you signed that agreement with Anthropic or partnership with Anthropic. And I'm wondering if you could talk about what you're kind of discussed with them so far and in particular about the maybe the amount of data you would really need to ingest into, you know, LLM and also the diversity of data you would need. Is it enough just to have the planet archive or plan scope? Do you need to include either SAR or other types of data to make use? Just curious to kind of how those discussions are going and about the quantity and diversity of data required. Thanks.
Will Marshall: Yeah. Good questions. Overall, we're very excited by how these sort of developments of foundation models can speed kind of value for our customers and expand usability. The specific partnership with Anthropic is primarily focused on fine-tuning their models on our data. And exactly the point you're making there, the data that those models had access to thus far is primarily whatever they've scraped from the Internet, which is very limited satellite data. So exposing them to more satellite data can or the instinct is should help improve accuracy of those models in doing questions on our data. So we also are partnering with Google and others, and so it's not limited to them, but we think exploration with these sort of companies is good. That's separate. And in addition to the core work that we're doing with AI on top of our main solutions. So, you know, like, the contract that we announced with the European government includes MDA that involves AI things like identifying ships and identifying ship activity, like transshipments and other things, all leveraged AI. So it's both in our core products, that is to say, and enabling us to speed time to value and ease usability that enables accessibility for more users and therefore expands our market potential. So it's very exciting on all fronts, and we continue to push in both those ways.
Operator: The next question is from the line of Colin Canfield with Cantor Fitzgerald. You may proceed.
Colin Canfield: Hey. Thank you. Maybe talking to the pretax for building blocks? Half of twenty-five suggest maybe about thirty million of pre-cash will burn this year. So as we think through the EBITDA guidance and the CapEx guide, that's just maybe call it thirty to forty million of working capital benefits. So I think it's a two-pronged question. One is how do we think about that working capital unwind over a multiyear period? And the second part of that question is how do we think about the cash terms of the pipeline of deals, that handful of deals that you talked about that are similar to JSON. Thank you.
Ashley Johnson: Yes. Thank you for the question. Obviously, we were very excited to post our first quarter of free cash flow positivity in Q1, and it's a great milestone for the company. And as I think your question is really pointing to, working capital can be lumpy quarter to quarter, especially since we are working with such big contracts, you know, signing eight-figure contracts, in addition to, you know, contracts like the JESET satellite services contract just means that the timing of those payments will cause quarter-to-quarter working capital to look different. That in combination with the fact that some of our CapEx activity building and launching satellites can cause that investment capital to vary quarter to quarter. We're very focused on one, you know, operating the business with a path to EBITDA profitability as well as sustainable free cash flow profits. As I mentioned last quarter, we see a path to sustainable free cash flow generation in the next twenty-four months. And really what we're looking at is the places where we can invest in growth, but do so in a very both capital-efficient way and a way that sets us up to operate a high-margin business that's self-sustaining.
Operator: The next question is from the line of Michael Latimore with Northland. You may proceed.
Michael Latimore: Alright. Great. Yeah. Congrats on the excellent results here. In terms of just the strong sequential growth in the quarter, can you elaborate a little bit on what drove that? I think you called out some usage maybe among current customers. Just a little more detail would be great. And then Will, you talked about sort of seeing unprecedented demand, I mean, you know, kind of at this point. Can you parse that a little bit? Is it just broad-based, or are there a couple of areas that really stand out?
Ashley Johnson: I'll take the first part of your question and let Will address the second. In terms of Q1 revenue outperformance, it was really across multiple vectors. So one, just the sales team really having an excellent quarter. I mentioned, you know, or we mentioned in the prepared remarks specifically an eight-figure contract win, which was really exciting and helped drive some of the revenue upside in the quarter. In addition, you know, obviously, we work very closely with our customers to really drive that engagement with our data, which can drive usage rates up. And so that drove some of the outperformance in the quarter. And then finally, great progress on the JSAAT contract and just, you know, getting off to a strong start with hitting milestones. So it was really across multiple vectors that drove the outperformance in Q1.
Will Marshall: And just to the demand point, yeah, we're seeing really strong demand in the core data capabilities as well as for our nascent satellite services opportunities. And so I think what's happening in there is that the changing political landscape is a heightening need for security. I mean, I mentioned my trip to Europe, and, you know, visited a bunch of capitals over there. And, you know, frankly, I've never seen the urgency that I have felt on that trip from countries for both of those kinds of data and satellite services needs. And I think, you know, that's them realizing they need to strengthen themselves and get their own capabilities. And that's not just applicable to Europe. We're feeling it in Asia as well, for example. And so I think, you know, that all speaks to the point that we were hinting at last time that there's opportunities and risks to this new changing environment. But the opportunities of the planet are pretty strongly outweighing the risks, and effect, yeah, my trips to both DC and to Europe reinforce that.
Operator: The next question is from the line of Jeff Van Rhee with Craig Hallum. You may proceed.
Jeff Van Rhee: Great. Thanks. I'll let Mike congratulations. The real nice quarter. I guess one question, two parts here. But the European Maritime deals, will just talk to those deals. I mean, it's great. It sounds like those have really broken open. How repeatable are those? What is what really broke them open now? What does the pipeline look like there? And then the second part is just from a civil DNI and commercial breakdown, when you look at the pipeline, how do you see each of those sectors behaving over the next several quarters in terms of year-over-year growth?
Will Marshall: Yeah. I mean, on the maritime domain awareness solution piece, I mean, we have a real solution there, and that is enabling that strong offering. It's enabling partners to really rely on that. Our government. And then that's coupled with the political piece that I just mentioned, which is driving urgency. I mean, it's what it's doing is it's, I mean, we're seeing a strategic shift in Europe, which needs our kinds of paper. It needs more security, and, you know, people look at the changing way in which these new technologies play into security as they have in Ukraine drones and satellites and AI. And they're realizing that they need them, and they need them. So I've never felt that kind of urgency before, so it does say that and that helps us drive these things a little bit faster. The MDA in particular is probably because there are both real maritime needs but also we've got a real full solution there. And so that, I think, is what has driven that. You know, people want to look out in open water and find the shipping activities and ensure that they can track them.
Ashley Johnson: And I can jump in on the question about the pipeline. You know, obviously, as Will highlighted, continue to see strong demand emerging in the DNI sector. I think we've got both compelling solutions and very unique data. And, you know, the changing political environment is just heightening the need for the solutions and the data that we have. On the civil side, our team's doing a great job of engaging around some key solutions that we have running workshops to show them how our data can uniquely enable governments to either enforce and execute new policy commitments that they have. For example, the common agricultural policy over in Europe, or do broader-based civil opportunities around things like water quality management, environmental monitoring, new building assessment, etcetera, as well highlighted with the BKG deal that we announced earlier in the quarter. So a lot of strong opportunities on the government front. And on the commercial front, as we talked about last year, we've really been refocusing that team over a few key markets where we see the strongest product market fit. I think that refocusing has really enabled our team to see stronger execution and really understand to take those markets over the longer term. So it's been a refocusing, but I think is really starting to yield the results as evidenced by the comments we made around stabilization.
Operator: The next question is from the line of Trevor Walsh with Citizens Financial Group. You may proceed.
Trevor Walsh: Great. Hey, Ashley. Well, thanks for taking the questions. Just double-clicking a little bit, actually, on that last call you made around the commercial business. Just curious, just given the April end, if there were any disruptions maybe around deals or just in the last few weeks of the quarter with all the things around tariffs and some of the disruptions there. And then kind of as you look forward in that pipeline, is there anything that kind of signals at all any customer uncertainty or around demand? I'm just kind of wrangling down with how that affects their own businesses and if that's kind of coming within those key focus areas that you just kind of called out. Thanks.
Ashley Johnson: Yeah. To be honest, that isn't something that's necessarily been impacting the conversations that we've been engaged with, at least to my knowledge. Obviously, I think that there's a really interesting opportunity for Planet in the solutions that we've been building around global monitoring to ultimately have applicability to things like supply chain and understanding any types of events like these and how they might impact supply chain. So I see that as a longer-term opportunity for us. But nothing specifically jumps out at me from the quarter that would be relevant in that vein.
Operator: The next question is from the line of Ryan Koontz with Needham and Company. You may proceed.
Ryan Koontz: Great. Thanks. Two-part if I could. Ashley, if you can just least qualitatively kind of walk us through some of the puts and takes on gross margin maybe over the past year and as you look as how we think about that going forward? I know you've talked about some of the impacts of JSAAT expenses hitting gross margin. And then second to that, relative to your civil exposure on US federal and NASA, any commentary there relative to, you know, the efficiency activities in Washington? Thanks.
Ashley Johnson: Great. This is specifically around gross margin. We've highlighted a couple of factors as we actually, as we came into this year and gave guidance on fiscal 2026 even last quarter. Working with partners on solutions enables us to expand the amount of data that we can sell and drive value to customers, but it does have a short-term impact on margins. Similarly, with contracts like JSAAT, what's obviously really exciting about it is it enables us to scale the fleet faster. And the way the contract was signed, not only do we build the fleet for JESAT and their customers, but we're actually able to monetize the rest of world capacity, which means that over the long arc of the contract, we see the gross margins of it being similar to the rest of our business. So while there is some short-term impact on gross margins, over the long term, we see our margins stabilizing back towards our long-term targets. Do you want to address the first part of the question around US civil government?
Will Marshall: Yeah. And, I mean, obviously, NASA is facing some uncertainty politically right now and from a budget standpoint. During my trip there, I mean, firstly, we have a tremendous relationship with NASA. The users get a lot of value not just within NASA, but it provides value to users across the US government and across universities, across the United States. Federally funded university researchers. And those users love what they're getting from our data and incredible productivity from it. And I think overall, we had a there's a leaning in this government towards more efficiency. And I think that that actually plays very well into Planet's hands. NASA, we had conversations specifically on how we could help them with missions if there's a reduced budget. How we can help do those missions at lower cost as we have demonstrated before with the Challenger mission. So it's actually something that we lean into. But yeah, so we're obviously tracking that, and I think there's a lot of opportunities to help the government do that sort of those sort of missions more efficiently.
Operator: The next question is from the line of Chris Genualdi with Quilty Space. You may proceed.
Chris Genualdi: Good afternoon, everyone. Maybe a first quick question. I mean, NASA's fiscal 2026 budget is down almost 25%. I mean, I appreciate it's still early days, and it looks like a lot of the cuts are on the science side of the business. But how are you thinking about potential risks from these cuts? How exposed are you on your specific programs? And the second follow-up question, you talked about the high usage in Q1 from certain customers kind of tapering in Q2. How do we think about this regarding overall demand? Or is there just a natural seasonality in the use of your products? How do we think about that? Thank you.
Will Marshall: Yeah. Again, on that, the overall sentiment is that the administration is pushing into lower-cost solutions and efficient ways of doing their missions, which is the kind of program that we fit within under our CSTA program, for example, at NASA. Fit very much into those kinds of priorities. So don't know exactly how that's gonna fall out. The could someone turn to you and you know, our guidance takes that into account. But actually think that the upside is quite significant there as they try to figure out how to do these missions more efficiently under those sort of budget arrangements. So we were having conversations to try and support that.
Ashley Johnson: And then with respect to usage, yeah, as you point out, there are some aspects of seasonality to usage in certain sectors. In agriculture, for example, as we go into the So that can be one of the drivers. The other is, you know, as I said, we're really working with customers to engage them and help them get to value more quickly. So that we see those usage patterns actually increase and sustain. Obviously, for some governments, one of the challenges would be they have budget for a certain amount in any given year, and so when I'm thinking about Q1 outperformance, driven by usage, and then how much do I roll that forward into subsequent quarters? I need to be careful in recognizing that in the past, we've seen them sometimes throttle back usage to make sure that they stay within their budget envelope. So it's less about, you know, the value, which we know that they're seeing and it's obviously reinforced by what we saw in Q1. But that's always gonna be counterbalanced with their own budgetary and timing constraints.
Operator: The next question is from the line of Chris Quilty with Quilty Space. You may proceed.
Chris Quilty: Thanks. Cleo, I'm gonna ask a question that you're not gonna answer, so this one doesn't count, but obviously, the elephant in the room here are the new stories we've seen about possible cuts to the EOCL program. Obviously, you're probably limited in what you can say on that topic, and you've already kind of addressed it, I think, in your prior discussion here. In that you're offering the low-cost commercial solution that the government seems to be pushing for. Is there any insights you can give us on what might be happening in the background with any cuts or the outlook for the EOCL program or what the government might have in the pipeline?
Will Marshall: I mean, I think you're getting there with the is analogous to what I was just saying about NASA. You know, we obviously track the budget process carefully. And just like with NASA, we have a strong partnership with the NRO and NGA, and we know that the government is leveraging those capabilities and think they're important. And this particular administration is leaning more into that. Right? So we've seen the Trump administration push out executive orders looking to leverage commercial services, and Planet fits well into that. There's obviously opportunities and risks associated with the particular programs and so on. Obviously, we will discuss that if we if and when we put up more details on programs going forward. But overall, again, my trip to DC, we have found that there's more opportunities and risks in this environment in DC.
Operator: The next question is from the line of Jason Gursky with Citigroup. You may proceed.
Jason Gursky: Yeah. Just maybe a quick follow-up to that last question. Will, maybe you could talk about the pockets of demand that you're seeing in DOD inside or inside Washington. To Chris' point, you know, it looks like the OCL program is maybe at risk here as much as a 30% cut to it if we read in some of the industry rags is, correct. So when you say that you're seeing lots of demand inside DOD, is it shifting around inside the agencies? For this kind of, you know, for the geospatial data that you're providing is gonna shift away from DOD I mean, from NRO and maybe go over to DOD directly, I think. And then maybe just tangential to that. I think you've got a renewal on the OCL coming up. Can you remind us of what the typical timing is on that, and do you expect that timing to change at all? Thanks.
Will Marshall: Yeah. Yeah. No. I appreciate. And there is interest in DOD separate. We've shared some of the details about the pilots that we have done with DOD and how they've leveraged. In particular, they're not so much buying the pixels as solutions, both our MDA solution. We've talked about our collaboration with Navy. And there's more opportunities like that. So, yes, seeing opportunities like that in the DOD. And then separately, there's missions. Right, that they to the Constellation Services offerings, there could be opportunities like that within government. I don't wanna speculate on any specifics on that yet. It's too early. For that, but there are that's what I'm talking about is the pull both for solutions as well as for our satellite services. And, you know, back to EOCR, there's nothing much more I can say right now because it's all in flat and hasn't been determined yet. But, again, we feel like we have a strong relationship and demand for what we are providing and that overall this government is pushing towards per that executive order, I should say, from the Trump administration pushing more into this. So we'll see where it all comes out and watch this space, and we'll give you more updates when we can. But I believe overall, our plan stands to find more opportunities and risk in DC.
Operator: The next question is from the line of Anthony Valentini with Goldman Sachs and Co. You may proceed.
Anthony Valentini: Hey, guys. Thanks for taking the question. I just wanted to ask about I think last quarter, you guys had said that you expect the growth next year to be at least double. Is that still the case? And if you guys can just provide an update there, that would be great.
Ashley Johnson: I mean, broadly, I would say our targets going forward are unchanged. So you saw the growth in our backlog, which we were very excited to see. And, you know, as well as alluded to, our sales team is performing well. We've brought in new contracts. So all of this gives us, you know, the book of business that we need to see that sustained and accelerated growth. So as far as all the commentary that we said last quarter about how we feel about, you know, this year and next, I'd say our targets are unchanged.
Operator: The next question is from the line of Colin Canfield with Cantor Fitzgerald. You may proceed.
Colin Canfield: Hey. Thank you. So just follow-up on the last few questions. Of the things that we have to deal with in government services is kind of confusion around requested budget versus legislated budgets. So maybe if you can walk us through kind of the dynamics of an FY25 CR and what that means for on-contract growth for Planet Labs and then how we should think about the potential of an FY26 CR as it relates to that growth algorithm. Thank you.
Will Marshall: Yeah. I mean, we've been to these sort of situations before, and it's not uncommon now to get a CR for a meaningful amount of time. So, obviously, we track that. CRs of opportunities and risks, they tend to be stable because just continue the budget from the prior year. They don't now big new starts, basically. So there are pluses and minuses about the different options here. But, you know, obviously, we're tracking that space and as anyone else in the industry is, and we continue to pursue opportunities as they open up.
Ashley Johnson: No. I mean, I think as you've heard, it's a fluid environment. We're keeping an eye on things as they unfold. And, you know, as Will said a few times now, we see a lot more opportunity in the direction of looking for more efficient, more effective ways to service the needs of the government.
Operator: That was the last question for the call. I would now like to pass the conference back for any further remarks.
Will Marshall: I just close by saying it's great to see the strong performance we had in the first quarter of the year. Exceeded expectations and achieved significant financial milestones, including an especially positive free cash flow. And we secured really great wins, so we're feeling good. We're seeing strong demand for our solutions, both the global insights and our satellite services. And believe we're establishing Planet as a market leader here. I'm very proud of our teams. The dedication, the hard work that enabled us to produce these results, and look forward to building on this momentum through the year. So thanks very much for tuning in, and see you next time.
Operator: That concludes today's call. Thank you for your participation, and enjoy the rest of your day.